Operator: Good day, everyone, and welcome to the Q4 2024 SLR Investment Corp. Earnings call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question and answer session. You may register to ask a question at any time by pressing the star and one on your telephone keypad. Please note, this call may be recorded. I'll be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Michael Gross, Chairman and Co-CEO.
Michael Gross: Thank you very much, and good morning. Welcome to SLR Investment Corp. Earnings call for the year ended December 31, 2024. I'm joined today by my long-term partner, Bruce Spohler, Co-Chief Executive Officer for his sixtieth quarter of SLRC results, along with Chief Financial Officer, Shiraz Kajee, and the SLR investor relations team. Shiraz, before we begin, would you please start by covering the webcast and forward-looking statements?
Shiraz Kajee: Thank you, Mike. Good morning, everyone. I'd like to remind everyone that today's call and webcast are being recorded. Please note that there is a copy of SLR's investment call and that any unauthorized broadcast in any form is strictly prohibited. This conference call is also being webcast on the Events Calendar in the Investors section on our website at www.slrinvestmentcorp.com. Audio replays of this call will be made available later today as disclosed now February 25th on its press release. Hold on. Forward-looking statements. Today's conference call and webcast may include forward-looking statements and projections. These statements are not guarantees of our future performance or financial results and involve a number of risks and uncertainties. Past performance is not indicative of future results. Actual results may differ materially as a result of a number of factors filings with the SEC. We do not undertake to update any forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website or call us at 213-993-1670. At this time, I'd like to turn the call back over to our Chairman and Co-CEO, Michael Gross.
Michael Gross: Thank you very much, Shiraz, and thank you to everyone for joining our earnings call this morning. Before I discuss our fourth quarter earnings and the drivers of our results, I'd like to briefly reflect on a milestone of the company and its investment advisor, SLR Capital Partners. This month marks the fifteen-year anniversary of trading since our IPO on February 10, 2010, more than eighteen years of operating history as a private credit fund and alternative investor manager. Since the company's IPO, we have deployed over $7.5 billion of investments and four related tuck-in acquisitions, with an average loss rate of less than eleven basis points. We are very proud of the SLR team's investment track record and long-standing history of successfully managing SLRC through periods of significant economic distress, including the Great Financial Crisis, dramatic drop in the oil price in June 2015, COVID-19, and the current elevated interest rate environment. Our team's experience has informed our disciplined approach to private credit underwriting, creating our multi-strategy platform. Over thirteen years ago, we began our initiative to generate higher risk-adjusted returns. The diversification is achieved with a combination of sponsor finance and complementary specialty finance strategies. Our asset-based specialty finance strategies provide greater downside protection of principal from underlying liquid collateral in the more cyclical nature of enterprise value that secures cash flow loans while simultaneously offering attractive and offering higher yields from extraction of complexity premiums. Today, we market conditions that include very tight illiquidity premiums and sponsor-backed direct lending concurrently burgeoning global economic uncertainties from a combination of rising geopolitical tensions, recent executive actions from the US president to administration, and expectations for a rate environment that is higher for longer. Consequently, we think our company's longstanding history, investment track record, and multi-strategy approach to private credit investing is as relevant now as it was during past economic challenges. We believe we can continue to achieve a durable and stable stream of recurring income by pivoting across our commercial finance strategies to capture the best risk-reward investment opportunities as current economic conditions unfold. In particular, we are seeing a significant increase in our ABL pipeline. For the fourth quarter of 2024, SLRC generated net investment income of $0.44 per share, which was flat year over year but down a penny from the third quarter. Net investment income continued to cover the quarterly dividend of $0.41. Despite the need for a decline in the base rate in the second half of 2024 and competitive conditions in the sponsor finance market, our solid finish to the year contributed to full-year NII per share of $1.77, representing a 5% increase over our 2023 net investment income per share. The company's net asset value at year-end increased to $18.20 from $18.09 a year ago, which we view as a testament to the overall credit quality of the portfolio. We believe the stability of our portfolio yields and our strong credit profile are the direct result of our conservative underwriting and multi-strategy approach to private credit. In response to the currently more attractive conditions in specialty finance strategies, our comprehensive net portfolios, competencies, and at December 31 included a 79% allocation to specialty finance investments. The remainder of the portfolio primarily consists of cash flow loans to borrowers that operate in recession-resistant industries that have low CapEx requirements. This approach has safeguarded our performance with the prolonged highest rate and inflation environment while other portfolios that are more susceptible to fixed charge coverage decline have seen increased non-accruals and elevated PIK income. SLRC originated $338 million of new investments across the comprehensive portfolio and received repayments of $442 million in the fourth quarter, resulting in a total portfolio of $3.1 billion at year-end. The yield of the portfolio was 12.1%, a slight increase from the prior quarter yield of 11.8%. Due to the more favorable conditions in our specialty finance markets, the company's investments in the fourth quarter were once again more heavily weighted to those asset classes which we believe currently provide more attractive risk-adjusted relative returns to sponsor finance loans, which are currently offering spreads in the 400 basis points in some instances for unitranche structures to upper middle market borrowers. Ninety-four percent of Q4 originations were in specialty finance. We passed on the refinancings of several cash flow investments within our portfolio, allowing our sponsor finance portfolio to shrink. While yields in our cash flow portfolio declined in the fourth quarter, our yields within our special credit strategies remained more insulated and even increased in some instances, providing higher returns than cash flow loans. We remain pleased with the composition, quality, and performance of our portfolio. At quarter-end, 96.4% of our comprehensive investment portfolio was comprised of first lien senior secured loans. SLR's long-standing focus on first lien loans has resulted in a portfolio which we believe is more conservatively positioned than BDC peers with less first lien exposure and better equipped to withstand persistent inflationary pressures and high interest rates than portfolios with second lien loans and broader cyclical exposure. As of December 31, we had only one investment on non-accrual, representing just 0.6% and 0.4% of the investment portfolio on a cost and fair value basis, respectively. We believe our low-rated non-accruals are a result of our multi-strategy investment approach and are well below the peer BDC average. As of December 31, including available credit facility capacity at SLRC and its specialty business portfolio companies, SLRC had over $900 million of available capital to deploy. This puts the company in a favorable position to take advantage of either durable economic conditions or a softening of the economy. I'll now turn the call back over to Shiraz, our CFO, to take you through Q4 financial highlights.
Shiraz Kajee: Thank you, Mike. SLR Investment Corp's net asset value at December 31, 2024, was $993 million or $18.20 per share, consistent with the quarter ended September 30, 2024. At quarter-end, SLRC's on-balance sheet investment portfolio had a fair market value of approximately $2 billion in 122 portfolio companies across 32 industries, compared to a fair market value of $2.1 billion in 131 portfolio companies across 34 industries at September 30. As of December 31, the company had approximately $1 billion of debt outstanding with a net debt to equity ratio of 1.03 times. We expect our net debt to equity ratio to migrate towards the middle of our target range of 0.9 to 1.25 times. During the quarter, the company closed a $49 million private fully unsecured note offering at a fixed interest rate of 6.24%. Subsequent to year-end, the company issued $50 million of three-year unsecured notes at a fixed interest rate of 6.14%, representing a spread to the three-year treasury of 190 basis points. We believe these new note issuances executed on both a cost-effective and attractive basis addressed the company's efforts to refinance maturing unsecured notes. As of December 31, 2024, pro forma fully issuances, SLRC had $444 million of unsecured debt, representing approximately 41% of funded debt. Moving to the P&L, for the three months ended December 31, gross investment income totaled $55.6 million versus $59.8 million for the three months ended September 30. Net expenses totaled $31.8 million for the three months ended December 31. This compares to $35.4 million for the prior quarter. Accordingly, the company's net investment income for the three months ended December 31, 2024, totaled $23.8 million or $0.44 per average share, compared with $24.3 million or $0.45 per average share for the prior quarter. And covered our $0.41 per share distribution during the period. Below the line, the company had a net realized and unrealized loss for the fourth quarter of $1 million versus a net realized and unrealized loss of $2.3 million for the prior quarter. As a result, the company had a net increase in net assets resulting from operations of $22.6 million for the three months ended December 31, compared to a net increase of $22 million for the three months ended September 30. On February 25th, the Board of SLRC declared a Q1 2025 quarterly distribution of $0.41 per share payable on March 28, 2025, to holders of record as of March 14, 2025. With that, I'll turn the call over to our Co-CEO, Bruce Spohler.
Bruce Spohler: Thank you, Shiraz. At quarter-end and on a fair value basis, the comprehensive portfolio consisted of approximately $3.1 billion of senior secured loans to over 880 distinct borrowers. The average exposure was $3.5 million. Measured at fair value, 98.2% of our comprehensive portfolio consisted of senior secured loans with 96.4% invested in first lien loans, including our investments in the SSLP attributable to the company. And only 0.3% was invested in second lien cash flow loans, with the remaining 1.5% invested in second lien asset-based loans. As Michael mentioned earlier, our specialty finance investments account for over 79% of the total portfolio. With the remaining portfolio comprised of senior secured cash flow loans to mid-market sponsor-owned companies. We believe this defensive portfolio construction positions us well and provides a differentiated risk-return profile relative to sponsor finance-only portfolios. At year-end, our weighted average yield on the portfolio was 12.1% compared to 11.8% in the prior quarter. Based on our quantitative risk assessment scale, our portfolio currently has one of the strongest credit profiles in our history. At year-end, the weighted average investment risk rating was under two based on our one to four risk rating scale, with one representing the least amount of risk. Over 99% of the portfolio is rated two or higher. Moreover, 99.4% of the portfolio on a cost basis and 99.6% at fair value was performing, with only one investment on non-accrual. With the recent levies of tariffs and the looming threat of trade wars, our investment team completed a thorough review of our entire portfolio to assess the impact of current tariffs in place and prospective tariffs that could impact countries such as China, India, and others. We are pleased to share that we believe the potential direct impact of tariffs is minimal. Now let me touch on our four investment verticals. Starting with sponsor or cash flow lending. Our sponsor finance business originates first lien senior secured loans to mid-market companies in non-cyclical industries such as healthcare, business services, and financial services. This has helped to mitigate the impact on the portfolio from cyclical economic factors. At year-end, our cash flow portfolio was $634 million across 37 borrowers, including our senior secured loans in the SSLP. With approximately 99% of our cash flow loan portfolio invested in first lien loans, we believe that we are well-positioned to withstand any pressures that our borrowers may face. Our borrowers have a weighted average EBITDA of over $135 million and a median EBITDA of $73 million and carry low loan-to-values of approximately 46%. In Sponsor Finance, the weighted average EBITDA and revenue growth continues to be in the mid-single digits for our portfolio companies. Overall, they have successfully managed the transition to an environment with a higher cost of capital as well as inflationary premiums. The weighted average interest coverage on our sponsor finance loans has been stable at approximately 1.8 times. Additionally, only 1.6% of our fourth-quarter gross income is in the form of capitalized PIK income from cash flow borrowers resulting from amendments. We believe these healthy credit metrics are the result of the diversity of our portfolio across private credit strategies. And our focus within sponsor finance on recession-resilient industries with high recurring free cash flow. During the quarter, we made investments of just over $20 million and experienced repayments of just over $100 million. As Michael mentioned, sponsor finance deal flow continues to be muted due to lower M&A volume if the new risk-return profiles do not meet our criteria. As credit investors focused on downside protection, our ability to say no and pass on investment opportunities that don't meet our high hurdle can often be measured by the deals we don't do. For the year, we invested in $113 million of cash flow loans and had repayments of over $190 million. At year-end, the weighted average yield on this portfolio was 10.6%, down from 11.1% the prior quarter. Thus far, in 2025, there has not been a significant uptick in M&A. With spreads at tight levels and incremental weaker protections creeping into structures, we remain highly selective. However, we are optimistic that sponsor finance conditions will improve throughout this year as CEO confidence increases and we start to see increased activity in M&A. Now let me turn to our Specialty Finance segments. Across the board, the credit quality of these loans continues to be solid with attractive loan-to-values, which have meaningful collateral support and borrowing-based structures. Let me first touch on our asset-based lending portfolio. At year-end, the portfolio totaled $1 billion across 257 issuers. Regional domestic banks have continued to adjust their business model in a higher rate environment and are retreating from the ABL market, creating an attractive opportunity for SLRC's ABL team. Under tighter credit regulations, regional banks' asset-based loans to non-investment grade companies are often ineligible for Fed liquidity programs and often require banks to hold more capital against these loans. SLR is positioned to collaborate with these banks who are shifting their ABL strategies in reaction to these market challenges. Our recent acquisition of the loan portfolio and servicing platform from Webster Bank is an example of this. The integration of the platform and the portfolio is going smoothly and is performing in line with expectations. For the quarter, we had $128 million of new ABL investments and repayments of $205 million. The weighted average asset level yield was 14.6% compared to 14.4% in the prior quarter.
Bruce Spohler: Additionally, we are seeing opportunities to provide ABL structured facilities to traditional cash flow borrowers who are experiencing tight liquidity pressure from declining interest coverage ratios. Some sponsor-backed borrowers who had access to the cash flow and BSL market in a lower rate environment are now more perceptive to our ABL solutions in order to provide working capital and liquidity. These ABL facilities with us carve out working capital assets to be pledged into a borrowing base supporting the incremental ABL facility and provide liquidity relief for the borrower. The new business pipeline has expanded as fallen angel credits and other well-capitalized businesses seek additional liquidity in light of macroeconomic headwinds. Access to the larger SLR platform has allowed us to speak for bigger hold sizes and accordingly win more attractive investments. Finally, our ABL teams added new originators and will continue to do so in 2025. Now let me touch on equipment finance. At quarter-end, this portfolio totaled just over $1 billion, representing 37% of our total portfolio. The credit profile continues unchanged from the prior quarter. During the fourth quarter, we originated $180 million of new assets, the majority of this coming from our business that provides leases to investment-grade borrowers. We had repayments of just over $101 million. The weighted average asset level yield was 10.7% compared to 9.4% the prior quarter. Our investment pipeline has expanded in conjunction with the disruption caused by the regional bank failures. Finally, let me touch on Life Sciences. At year-end, our Life Sciences portfolio totaled approximately $240 million, with over 87% invested in portfolio companies that have over twelve months of cash runway.
Bruce Spohler: Additionally, all of our portfolio companies in life sciences have revenues and at least one product in the commercialization stage. This significantly de-risks our investment. Life Science investments represented just under 80% of the portfolio and contributed 18% of the gross investment income for the fourth quarter. In recent months, we have seen green shoots in our life science pipeline, and we expect that activity will continue to improve during 2025. While we expect to see some industry changes stem from the evolving regulatory environment, our life science team is keenly focused on these developments and benefits from their twenty-plus year history of investing in life sciences. During the fourth quarter, we funded $10 million of an investment to an existing borrower and had $33 million of repayments.
Bruce Spohler: At quarter-end, the weighted average yield on the life science portfolio, excluding fees but including warrants, was just over 12%, compared to just over 12.5% the prior quarter. With early signs of improvement in the life science market, we have seen a modest uptick in the pipeline. Given our ability to allocate capital to the best opportunities across our investment strategies, we have the luxury of being highly selective in our capital deployment in life sciences yet still generating positive total originations collectively across the firm. Lastly, I want to touch on the company's SSLP. During the fourth quarter, we earned $1.9 million, representing a 15.6% annualized yield, consistent with the prior quarter. As of quarter-end, the portfolio had a fair value of just over $178 million. Now let me turn the call back to Michael.
Michael Gross: Thank you, Bruce. As we close the book on 2024, we are pleased with the stability evidenced in our fourth-quarter results and encouraged by the overall credit quality of the investment portfolio. This is evidenced by another quarter of net asset value stability, continued very low levels of non-accruals, a small percentage of watchlist investments, minimal payment-in-kind income, and broad portfolio diversification. While concerns about credit quality in private credit portfolios continue to creep into the market narrative, from high-profile defaults as the trailing twelve-month loss rate implied BDC crested above the long-term average in 2024, we view the consistency of results achieved throughout the year as a testament to SLR's multi-strategy approach in private credit investing. As reflecting the growth of our platform over the last fifteen years that has created a diversified commercial finance company with broad investment capabilities, we believe that our multi-strategy approach, emphasis on preservation of capital, and portfolio construction with the specialty finance emphasis differentiates us from the majority of our peers. The company is positioned favorably with momentum across all of our businesses and a growing pipeline towards Specialty Finance investment opportunities. Since our IPO fifteen years ago, we have generated a 10.5% IRR for our shareholders. We are grateful to and humbled by the support of our investors, lenders, rating agencies, portfolio companies, and more than three hundred employees, including affiliates, across the SLR platforms who contributed to this milestone. Thank you to all of you who have contributed to SLRC's performance.
Michael Gross: In closing, SLRC currently trades at a 9.4% dividend yield as of yesterday's market close, which we believe presents an attractive investment for both income-seeking and value investors and offers shareholders portfolio diversification benefits compared to cash flow-only private credit strategies. Our investment advisor alignment of interest with the shareholders continues to be one of our significant hallmark principles. The SLR team owns over 8% of the company's stock, including having a significant percentage of their annual incentive compensation invested in SLRC stock every year. The team's investment alongside fellow institutional and private wealth investors demonstrates our confidence in the company's portfolio, stable funding, and earnings outlook. Thank you all again for your time today. We know it's a busy time of year for those that follow the BDC Marketplace closely. Operator, would you please open the line for questions?
Operator: Certainly. From the queue, you may press star two. And we'll take our first question from Erik Zwick of Lucid Capital Markets.
Erik Zwick: Thank you. Good morning, everyone. I spent a fair amount of time talking about the opportunities for your specialty finance verticals and how strong the pipeline is there today. I'm curious with respect to potentially acquiring whole portfolios or teams, what that part of the pipeline looks like and you mentioned the Webster team last year. Were there any others last year that you looked at and didn't choose to go forward with? If so, what might those reasons be?
Michael Gross: Great question. Yeah. Starting with last year, we did see some opportunities that we could have transacted on. And we decided to pass. I think that, generally, if we pass, it's because we get in there and begin to see some of the credit underwriting processes and how the portfolio looks relative to the portfolios that we own and generally have passed on that basis where we feel that we can create organically a better something than what we would be buying in the market. But we do have a team that is dedicated, you may recall, to sourcing portfolios and teams. And we have, post the regional banking disruption, seen elevated activity levels across specialty finance in terms of bringing on teams and portfolios. So we expect to be a contributor this year. But you do have to kiss a lot of frogs.
Erik Zwick: Sure. Makes sense. I like that analogy. And maybe moving towards sponsor finance, and I know the majority of the capital you put to work last year was on the specialty finance side. You're seeing better risk-adjusted returns there. You noted that the spreads remain very tight in sponsor finance. I'm curious if you could just maybe address what you're seeing from a structure perspective as well. Are you seeing any actors out there that are starting to bend there, or is it primarily just the spread pressure that keeps the risk-adjusted opportunity not as attractive?
Michael Gross: So I would say that both the spread compression and the loosening of terms in the sponsor market feel to have stabilized, albeit at a level that we find relatively unattractive in comparison to our ABL and specialty finance strategies. But there does seem to be a little bit of stability there. I don't know if the influx of new capital relative to the deal flow has kind of found its equilibrium. But at the moment, we're just not liking the absolute returns afforded in the sponsor finance business. New platforms are, if you can find them, are in the 9% to 9.5% all-in. As you heard, our yield in the sponsor book went from 11.1% down to 10.6%. And that's kind of what we're targeting is 10.5% to 11% returns if we're going to invest in sponsor. But I would say things have stabilized for the moment.
Erik Zwick: I appreciate the thoughts. I'll step aside and hop back in. Thank you.
Michael Gross: Thank you.
Operator: We'll take our next question from Casey Alexander of Compass Point.
Casey Alexander: Hi. Good morning.
Michael Gross: Morning.
Casey Alexander: My first question is about the equipment finance sector. I mean, if you look at the comprehensive portfolio, it's the largest segment of the portfolio. And because of its sort of unique structure, fixed-rate loans, floating-rate liabilities, the yield has improved 250 basis points over the last two quarters. Back up to what I think is sort of an acceptable BDC level. Are you, it doesn't really feel like you're matching liabilities and assets though. Is there anything that you can do to change the liability side of the structure to kind of, you know, I don't know, lock it in or reduce the yield volatility that occurs in that portfolio? I'm just curious if there's something that you can do now that it's returned to a more acceptable yield.
Michael Gross: So good question. It is reasonably well matched. Look, the equipment finance sector benefits in this environment from a couple of things. On the liability side, the floating rate debt is actually part of our parent company's investment. It came in as debt, about $150 million, as well as the equity. That is floating rate. So it's just another way to pull our income out. You could say it benefits us when rates are up. But that's not a real driver. We just look at the total income across our debt and equity investment. So obviously, if the debt's down a little bit, the equity will be up a little bit. Since we own both 100%. I think the big driver here is in this environment, in an inflationary environment, this business does outperform. We have investments that we've been putting on the last two years in a higher rate environment, to your point, that is helping the business because we did put in fixed-rate liabilities a few years back. You'll also find in this environment that borrowers will keep the asset longer and extend our lease. And that is where we make profit. We want the inflationary environment such that the lease versus buy decision is such that in their minds, the check that they're writing every month is cheaper to keep the existing equipment. And that's where we're seeing elevated profitability. So long-winded answer to your question, but we feel well matched. And we do think that in this environment, we will continue to see nice stable returns.
Casey Alexander: Okay. Thank you for that. My second question is, I just want to make sure that I understand you building the pipeline in ABL. What you're talking about is more transitioning what might have been traditional cash flow opportunities into ABL opportunities as opposed to having a stack up of, you know, standalone, you know, new specialty finance companies that you would want to buy. That's where the increase in the pipeline is coming from.
Michael Gross: Yeah. Correct. It's individual ABL loans. I mean, you saw, you know, we've taken down our cash flow book from what was a peak of 26% of the portfolio in 2023 when we liked that risk, down to just about 20%. And my guess is that we'll head lower. I think our trough in the last few years has been closer to 15%. And instead, we are doing individual ABL loans. That is separate and apart to your question from any potential portfolios like the one we purchased from Webster that would accelerate that. But as you see, we have taken down our leverage to 1.03, was up at 1.19 about a year ago. So we do have ample capacity to both buy portfolios and just pursue the individual loans that are making up our pipeline of ABL assets.
Casey Alexander: Right. Okay. Great. Now I appreciate your stance of, you know, not seeing enough return from, you know, spreads that are 475 or wherever. The SSLP was set up to accept lower-yielded loans, lower-yielding loans from Solar Senior. I mean, is there a place for those if the credit is good, is there a place to take a piece of those lower spread loans on and ship them down to, you know, the JV? And a follow-on to that is, as it stands right now, if you're not going to do that, is the JV kind of at its functional capacity at this point in time?
Michael Gross: So great question. And yes, 100%. We are continuing to put loans into the SSLP. Remember, originally, it was migrating loans that we had acquired in connection with the merger with SUNS back in 2022. Many of which back then were priced at the $4.75 level. So we are doing that, which is why we think that we can continue to run that portfolio at close to full optimization.
Casey Alexander: Alright. Thank you.
Michael Gross: Thank you.
Operator: We'll move next to Melissa Wedel of JPMorgan.
Melissa Wedel: Thanks for taking my questions this morning. Some of them have actually been asked already, but I thought maybe we could touch back on the ABL opportunity. Given what you've described as, you know, some funders leaving the space and we see the opportunity there, I was a little bit surprised by just the volume of exits during the quarter, so yields seem to be pretty resilient. And if I'm correct, there was even a quarter-over-quarter increase in yields. So just want to understand that dynamic and what's driving both the yield changes in the space, but also some of the repayments that you saw in 4Q. Thank you.
Michael Gross: Sure. So the yield is, I think the takeaway there should be more about the stability and whether it ticks up a couple of basis points quarter over quarter, it's not a systemic trend in ABL. What we like about ABL is that it is a stable return asset across interest rate cycles. But to your point about repayments, you know, sometimes you get repaid as a lender, and that's something that we celebrate, as you know, at SLR. The average duration of the loans that got repaid, we had $205 million of ABL repayments in the fourth quarter. The average duration was four years. So if you think about it, that's longer than you typically see in sponsor loans, life science loans. So it just happened to be idiosyncratic that we had a number of loans that were coming due and they were moving on. We'd love to have kept them, but that is the nature of ABL. These companies will move to lower-cost financing when they can. But again, we kept them on SLR's balance sheet for over four, close to four years. So it was just an odd quarter in that regard. The other point worth noting is in ABL lending, as you think about, for example, the Webster portfolio that we purchased at the end of the quarter, you often structure your loan, unlike cash flow, where you have a term loan and maybe a small revolving credit facility, the entire facility in ABL is often structured as a revolver. And so what happens is you will have usage of that facility while we mandate economically through fees and minimal utilization of the facility, you will see outstandings go up and down. So just to put it in context, we saw $60 million of repayments in that $205 million in the fourth quarter, were temporary repayments of a facility. They were not a loss of a borrowing relationship per se, if you think about a typical repayment. So those outstandings will ebb and flow across the ABL credit facilities.
Melissa Wedel: Thank you.
Operator: And once again, that is star one to ask a question. We'll move next to Paul Johnson of KBW.
Paul Johnson: Thanks. Good morning. Thanks for taking my questions. In terms of just the sponsor-backed lending business, and you've been allowing that portfolio to run off, you know, and that's been the case for quite some time going back, you know, several years, give or take a few windows of opportunity for growth in that vertical. But in terms of, like, the broader SLR platform, you know, can you just tell us, you know, how much is still, I guess, investing in cash flow loans? Are there other parts of the platform that are still, you know, involved in that business where, you know, you can, you know, manage your share and relevance with sponsors and maintain those relationships with the callback?
Michael Gross: All of our funds we manage, for the most part, are multi-strategy funds. So they have exposure to all the ABL strategies and the cash flow. So with very few exceptions, any cash flow that we're putting into SLRC is also being invested on behalf of all the high net worth funds, funds of one, commingled funds. And that allows us to take down anywhere from $50 to $100 to $200 million of a loan and keep diversification across the platform. So we're not treating SLRC differently than we are with regards to cash flow loans than we are in our institutional funds. But I think, you know, a corollary is you may wonder what is our relevance to the borrowing sponsored community if it seems that our commitment to the asset class ebbs and flows across cycles. And the answer is we are very targeted in our sponsor cash flow lending business towards three industries: healthcare, business services, and financial services. That probably comprises 75% to 80% of our cash flow portfolio. And so we have deep relationships in those industries and we will be active as a lender when those sponsors are active. But in those sectors, they tend to be the sponsors much more focused on creating value for the equity over time, less focused on trying to drive the cheapest borrowing cost with the least amount of covenants. It's much more of a partnership. So we make sure that we maintain our relevance to these cash flow borrowers to the sponsor community in those industries across the cycle. So our activity closely follows theirs in terms of how they see the investment opportunity just as we do.
Paul Johnson: Got it. I appreciate that. That's helpful. And then last question from me. I apologize if you said this earlier on in the beginning of the call, but just on what looked like higher dividend income this quarter, and on the equipment finance investment that obviously has been performing well. But what drove that? And, you know, I'm looking at basically about $16 million or so of dividend income in the fourth quarter. Is that kind of a good run rate going forward, or is there anything nonrecurring in there we should be thinking about for next year?
Michael Gross: Sure. So no, that was what we would like to think of as run rate, hopefully. But you had a whole economic condition constant. Some of it, to your point, was definitely increased income coming in from the lease portfolio, but the majority of it actually was from the ABL businesses. In large part, the acquisition of the Webster portfolio, we closed at the last day of Q3. So you had the full quarter impact for Q4. Those were very attractive returning assets, mid-teens returns. So that should be continuing. Those relationships, early days, have stuck with us. So we'd like to think that's a run rate. And I just can't emphasize enough our commitment to the ABL asset class. It is direct lending just like cash flow. The only difference is you are underwriting collateral in addition to cash flows and seeking collateral, and the liquidation of collateral if needed is your primary source of repayment. We've been very active, as I mentioned, in adding originators in ABL, both last year and continuing into Q1. So we do see that as a growth area, and that is a lot of what you're seeing in terms of the elevated dividend income in Q4. Just to expand for one more second, you may know that our focus in ABL goes beyond just types of collateral, mostly working capital, receivables, and inventory, but it also extends into industry expertise. Just as we have healthcare expertise in life sciences and healthcare cash flow lending, we have a dedicated healthcare ABL team that is focused on healthcare receivables, both commercial pay and government pay. We also have businesses dedicated to the digital media industry. With the Webster acquisition, we pivoted to some old-school industries such as apparel. So there is a lot of white space out there, and very often in ABL, regional and industry expertise can be a differentiator.
Paul Johnson: Got it. I appreciate that. I mean, one more on the ABL. I mean, you mentioned some new hires there. I mean, what is kind of the requirement for additional headcount in those businesses? I mean, is most of the existing human capital basically kind of in place for those companies, or would you expect that they need to hire you?
Michael Gross: If you look at our portfolio companies under SLRC, they're all built for growth. So the infrastructure's all there. As evidenced by the fact that we bought the Webster portfolio into business credit, the prior owner had about ninety people servicing it. We took ninety people to service it since we already have the infrastructure in place. What we're adding people is really exclusively on the origination side. To boost their LACOM, we are committed to the ABL business, and we're able to recruit highly talented and experienced people from commercial banks that are looking for a different experience and a different way to grow their personal business.
Paul Johnson: Got it. And when those hires, like, that headcount, is that added at the adviser level, or is that headcount at the specialty FinCo?
Michael Gross: Yeah. Especially FinCo.
Paul Johnson: Got it. Thank you very much. That's all for me.
Operator: Thank you. And it appears that we have no further questions at this time. We thank you all for your attendance today. We recognize it's a busy time of year. So those of you who missed it or just listened to the recording, please feel free to follow up for any questions you may have.
Operator: This does conclude today's conference. You may now disconnect your lines. And everyone, have a great day.